Operator: Good afternoon. Good morning. My name is Latonya and I will be your conference operator today. At this time, I would like to welcome everyone to the Potlatch Second Quarter 2016 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the floor to Mr. Jerry Richards, Vice President and Chief Financial Officer for opening remarks. Thank you. Mr. Richards, I hand the floor to you.
Jerald Richards: Thank you, Latonya and good morning. Welcome to Potlatch's investor call and webcast, covering our second quarter 2016 earnings. With me in the room are Mike Covey, Chairman and Chief Executive Officer; and Eric Cremers, President and Chief Operating Officer. This call will contain forward-looking statements. Please review the warning statements in our press release on the presentation slides and in our filings with the SEC concerning the risks associated with these forward-looking statements. Also, please note that reconciliation of non-GAAP measures can be found on our website at www.potlatchcorp.com. I will now turn the call over to Mike for some comments and then I will cover our second quarter results and outlook.
Michael Covey: Thank you, Jerry, and good morning. Improved markets and solid execution against our capital allocation strategy put the wind back into our sales this year. In April, we announced the sale of 172,000 acres of timberland in Central Idaho at an attractive EBITDA multiple for $114 million. We also announced that our Board authorized a $60 million share repurchase program and that we plan to pay down debt with part of the proceeds. During the 34 days available in our recent open window, we repurchased just under 170,000 shares at an average price of $35 per share. This represents approximately 10% of our share repurchase authorization. Our window to purchase shares was closed during the Brexit vote. Even though our stock price recovered after the vote and is currently up over 20% year-to-date, we continue to trade at a meaningful discount to our net asset value. It is our intent to continue to execute against our share repurchase authorization opportunistically when our stock trades at a deep discount to our net asset value. We also used $42.6 million of the timberland sale proceeds to repay 5.9% debt during the quarter. This will reduce interest expense $2.5 million per year in addition to executing against our goal, our reducing leverage, and regaining an investment grade credit rating. In addition, we are in the process of refinancing $65.7 million of tax exempt revenue bonds that currently bear interest at 6%. This is scheduled to close in August and we expect the interest rate to drop significantly. Turning to the economic factors, solid job creation, continued strength in consumer confidence levels, historically low mortgage rates, and rising household formations all support continued steady growth in the U.S. housing starts. Through the first half of the year, housing starts are up about 8% on a year-over-year basis we're encouraged by the fact that single family starts are up almost 15% on a year-over-year basis given that single family starts use about three times the amount of lumber as multifamily units. We continue to believe that lumber inventory levels in the supply chain are low and the increase in lumber prices this year has been driven by demand and takeaway, not speculation about what may occur when the softwood lumber agreement standstill expires this October. The DIY market has been very strong and is compensated for slower than expected growth in the U.S. housing starts this year. The Canadian dollar has strengthened about 6% against the U.S. dollar so far this year. This is benefited lumber manufacturers located in the United States by reversing some of the competitive advantage that is accrued to Canadian producers. The profitability of our Wood Product segment continued to improve this quarter. We're set up well for the second half of the year another one of the - the one discretionary capital project plan for the year that are Warren, Arkansas sawmill is behind us and lumber prices have started to move up from the recent plateau. Resource operated well through the first half of the year and we are ahead of our harvest plan that reduces the risk that the fire season or early snow could cause us to not meet our planned harvest, which remains at 4.2 million tons this year. Real estate continues to be a steady contributor and we closed a conservation sale for an attractive price of almost $2,600 per acre this quarter. Finally our dividend yield remains over 4% despite the appreciation in our stock price this year. This provides an attractive return in addition to the upside potential as we execute against our capital allocation strategy and the U.S. housing market continues its recovery. And I'll turn it back over to Jerry to talk about the quarter and our outlook.
Jerald Richards: Thanks Mike. Beginning with Page 3 of the slides accompanying this call, we reported a net loss of $31.3 million or $0.77 per diluted share in the second quarter. This result includes a net loss of $36.7 million on the sale of the 172,000 acres of Central Idaho timberland that we announced in April. Excluding net loss we earn $5.4 million or $0.13 per diluted share. This compares to a net income of $200,000 which rounds to $0.00 per diluted share in the first quarter. EBITDA for the second quarter was $25.1 million excluding $111.5 million generated by the Central Idaho timberland sale. EBITDA generated by the Northern and Southern regions of resource, wood products and real estate were all higher on a sequential basis. I’ll now review the results of our operating segments. Information for our resource segment is displayed on Slides 4 through 6. Operating income for the segment was $15.7 million in the second quarter compared to $10.2 million last quarter. We harvested 916,000 tons in the second quarter which is 66,000 tons higher than the estimate that we provided on last quarters call. Turning to Slide 5, we delivered 389,000 tons of sawlogs in the North in the second quarter. As we discussed on the first quarter earnings call, it was an unseasonably warm winter in Idaho which resulted in sawlog deliveries being lower than planned in the North in the first quarter. Hauling activities resumed earlier than normal in the second quarter due to favorable weather conditions and logging roads drying out. As a result, we more than made up the shortfall in sawlog volume in the North in the second quarter and mill log inventories are back to more normal levels in the region. Northern sawlog prices increased 14% on a per ton basis in the second quarter. A little over half of this increase was a result of seasonally lighter logs due to lower moisture content. Log prices are set on a dimensional basis in Idaho, not based on weight. The remainder of the increase was primarily due to higher prices for cedar sawlogs on a dimensional basis in Idaho as demand for cedar logs remained strong. Moving to the South on Slide 6. Harvest volume slightly exceeded our plan in the second quarter despite wet weather in April and May that periodically interrupted operations. Our team did a good job taking the advantage of market demand and available logging capacity. Sawlog prices in the South increased 6% and pulpwood prices were up slightly both due primarily to seasonally higher volume of hardwood logs in the sales mix. Results for the wood product segment are displayed on Slides 7 and 8. Operating income was $4.7 million in the quarter compared to $1 million in the first quarter. This is the third consecutive quarter that the segments results have improved. Our average lumber prices increased 8% and lumber shipments were 5% higher in the second quarter. Our Warren, Arkansas sawmill took 12 days of downtime in the quarter related to a capital project and maintenance. This negatively affected earnings by approximately $3 million. The project is complete and the mill has resumed normal operations. I will now shift to our Real Estate segment on Slides nine and 10. Excluding the book loss on the Central Idaho sale, real estates operating income was $5 million in the second quarter up from $2.1 million earned in the first quarter. We sold 5,530 acres in the second quarter which is higher than we anticipated. A conservation sale was completed earlier than expected and an attractive price of almost $2,600 per acre. Corporate expenses of $10.3 million in the second quarter are higher than normal largely because of an $800,000 pretax charge related to an environmental remediation project that we completed in Northern Idaho in 2013. More background on this matter is disclosed in our Form 10-Q which we plan to file later today. Turning to financial highlights on Slide 11, we ended the quarter with cash of $65.4 million. We also have $249 million available in our revolver. As Mike mentioned in his comments, we redeemed our $42.6 million, 5.9% Minnesota tax exempt bonds in June and are in the process of refinancing our $65.7 million, 6% Nez Perce County, Idaho, tax exempt bonds. The latter transaction is scheduled to close in August. We expect the redemption and the refinancing will combine to reduce our interest expense run rate by over $4 million per year. Capital expenditures excluding acquisitions were $5.8 million in the second quarter; we continue to expect that capital expenditures will be $19 million for the year. Now, I would like to comment on our outlook, which is summarized on Slide 12. We plan to harvest between 1.4 million tons and 1.5 million tons in the third quarter with roughly half the volume in the North and the other half in the South. Sawlogs are expected to comprise approximately 90% of the third quarter harvest in the North and approximately 50% of the third quarter harvest in the South inclusive of stumpage sales. We estimate stumpage sales will be approximately 100,000 tons in the South in the third quarter. We continue to expect that we will harvest 4.2 million tons in total for the full-year. Recall that our planned harvest volume was lower 200,000 tons last quarter due to the Central Idaho timberland sale. We expect Northern sawlog prices to increase up to 5% in the third quarter to reflect higher lumber prices on a lag basis and due to strong cedar sawlog prices. In the South, we expect sawlog prices to increase approximately 10% due primarily to a seasonal increase in the volume of hardwood logs in the sales mix. We expect pulpwood prices to be down slightly due to excess supply relative to pulp mill demand in the region. At these seasonally higher volumes and higher prices, we expect resource earnings to be just under the $36 million that the segment earned in the third quarter of 2015. Turning to wood products, we expect lumber shipments to increase sequentially to approximately 175 million board feet in the third quarter. Our forecast assumes that the average lumber price realized will be 5% higher in the third quarter. Wood products earnings would increase to $8 million to $10 million in the third quarter at these volumes and prices. For real estate, we expect to sell about 7,000 acres in the third quarter at an average price of $1,300 per acre. Over 80% of the acres are expected to be a real estate in the third quarter. We estimate that land basis in the quarter will be 15% to 20%. We expect that corporate expenses will be $9.5 million and net interest expense will be $8.1 million in the third quarter. The latter includes the write-off of unamortized loan cost of approximately $400,000 related to the Nez Perce County tax exempt bonds that are being refinanced. We estimate that the consolidated effective tax rate will be an expense of 10% to 15% of pretax earnings in the third quarter. To summarize, we expect higher earnings in the third quarter primarily due to seasonally higher harvest volumes and continued improvement in lumber prices and volumes. That concludes our prepared remarks. Latonya, I’d now like to open the call up to the Q&A.
Operator: Thank you. [Operator Instructions] And we do have a question from the line of George Staphos with Bank of America.
George Staphos: Hi, guys. Good afternoon or good morning. Thanks for the details. I just wanted to go back and double check something a little one we can do the calculations ourselves. The guidance on wood products where you said I think profitability would be $8 million to $10 million? Is that a sequential improvement that you're guiding to or year-on-year increase?
Jerald Richards: So, George, that is a sequential improvement in wood products that we are guiding to.
George Staphos: Okay. Thanks for that. I assume so just wanted to be clear. Mike…
Michael Covey: You had to George. It is not going to increase that $8 million to $10 million, it will be between $8 million and $10 million.
George Staphos: Okay, fine. Fair enough. I thought I heard sequentially increase. Okay, second question I had, you talked to sawlog pricing in the South and obviously prices are moving up because of mix of hardwood? Can you comment on trying to what you're seeing on the southern side, excuse me, the softwood side of sawlogs and whether there's any beginning tension in pricing because of the improvement that you're seeing in housing and wood product markets?
Eric Cremers: Hi, George. This is Eric. On the softwood side generally speaking we continue to see kind of flattish prices. If I look at the prices that we've seen over the course of the year they really haven't changed a whole lot in fact or maybe a little bit of sawlog weakness in Arkansas in the fourth quarter though that's due to mills being unusually full at this point in time, but we're not seeing upward price movement at this point in time.
George Staphos: Okay.
Michael Covey: And I think if you look broadly across the sales, at least the markets that we're in three states inventory levels at sawmills are completely full allowing some sawmill owners and operators to still continue to put pressure downward on sawlog prices.
Jerald Richards: Yes. George, just one step further. If you look at Timber Mart-South data across over the 10 Southern states that they track. Year-over-year sawlog, this is pine sawlog now, price variance is down roughly 3% across the whole south and down about 2.5% just quarter-over-quarter.
George Staphos: Okay, fair enough. We were hoping for something else, but appreciate the affirmation there I guess. Two last one and I’ll turn it over. One, can you comment all on what the financial impact was in earnings or volumes from recapturing the loss run from the first quarter in the North. And then you talked about wood product inventory is being relatively low? Is there any way to put additional qualifiers or quantification around that what you're seeing in distribution and at your customers? Thank you.
Eric Cremers: So George let me let me take that first question which is incremental volume that we got and what does that translate to in terms of incremental profitability. I think as Jerry had mentioned, we outperformed our forecast by about 66,000 tons and roughly 40,000 tons of that was Northern sawlog. And so if I think about roughly $40 a ton margin on that Northern sawlog that equates to about $1.6 million. So there will be extra margin of course from pulpwood and from Southern products as well, but more or less it's between a $1.5 million and $2 million. Is that answers your question?
George Staphos: Yes, that's fine. Yes. Thank you. And then in terms of just you view is being that lumber is moving will take away and builder expectations and inventories being low, can you put realizing it’s difficult, put maybe a bit finer point in terms of what you're seeing in terms of distribution level, inventories and again the outlook for wood products rest of the year? Thank you, guys.
Eric Cremers: Yes, so as we stated on the last call, it’s our belief now that dealers run with low inventories perpetually. They no longer will build inventories and then draw those inventories down. So they tend to run kind order-to-order and when you get in a period of strength like we're in right now where takeaway is very firm. It translates into pricing strength back at the mill, because we see that increase in demand very, very quickly. In terms of what we do see for the rest of the year, our view is that prices have had a really nice run here we're probably in the start to enter the fall. We don't think there's downward pressure on prices or maybe even a little upward price opportunity here. But I think when you get out into next year if you look at what the pundits are forecasting, which is roughly a 10% year-over-year increase or call it $30 a thousand. That's roughly in line with what the futures market is showing, it's our belief that is capacity utilization continues to increase in the industry and you see very limited new capacity coming online and it does take a while to build a new sawmill. I think the pundits may be correct here in that we're going to see further price gains.
George Staphos: Thanks very much Eric.
Operator: Thank you. Your next question comes from the line of Gail Glazerman with Roe Equity Research.
Gail Glazerman: Hey good morning. I guess Eric can you just start by talking about maybe how you see the softwood lumber agreement playing out for the markets as we get closer and closer to the end of that standstill of customers haven't been building inventory ahead of it?
Michael Covey: Gail, this is Mike. We've seen a lot of recent growth in the U.S. market with stronger demand specially in single family housing, repaired remodel has surged and almost all of that growth in the markets have been captured by Canadian imports their market share today is about 34% at least it was in the first quarter of the year that compares to about 28% two years ago. So a lot of the uplift has been captured by Canada and softwood lumber coalition continues to pursue a negotiated settlement that focuses on maintaining Canadian exports at or below and agreed upon U.S. market share so essentially a quota system. And the USTR, our trade representative and the Canadian counterparts have been meeting we think they're having meaningful dialogues, but if negotiations fail the U.S. is free to file remedies under the - in the courts after October 13 as you know under the trade laws, that one year standstill expires on that date. And then we can file a trade case but I think the strength we've seen in the lumber market to date has been more demand driven and consumption driven. And I don't think that most traders at least as we talk to our salespeople every day. It's not a big topic of conversation with the SLA is going to be now I think two months from now that will be the case but today I think it's driven on fundamentals which are encouraging.
Gail Glazerman: Okay. And can you give an update I know you’ve said very limited capacity is coming online, but there has been some relevant news particularly in some of your baskets? Can you just give an update on some of the investments that you may or may not be seeing in your Southern wood basket may be touch on a little bit of what happened going on in Idaho?
Eric Cremers: Yes, in Idaho specifically Gail, one of our largest pulpwood customer the water paper has announced an expansion and at their pulp mill down in Lewiston and that's supposed to come online next year and we believe that will increase pulpwood demand by roughly 100,000 tons per year. And we hear they're making progress on that. Across the south I've got a list here in front of me it's roughly 17 projects underway, 10 are in Arkansas, four in Mississippi and three in Alabama. Those projects combined amount to about 12 million tons of incremental wood demand roughly two-thirds of that is pulpwood and one-third of that is sawlog. They're all in various stages of development, ranging from sun papers announcement that they're going to build a fluff pulp mill in Arkadelphia. We think that will consume 3 million tons per year but that's not going to come online until cedar talking about earliest would be late 2017 and that's just when it starts off that won't hit full production until a year - a couple of years after that. And then you've got other projects that are in the South that are actually already kind of about up and start the Winston Plywood mill in Louisville, Mississippi is anticipated to start in mid-August and that will consume about 750,000 tons per year of incremental sawlogs. So you are seeing a lot of projects across the South and they are all in various stages of development, but make no mistake 12 million tons of incremental demand across these three states is very meaningful.
Gail Glazerman: Okay. And just switching gears a little bit, the comments on cedar pricing I just want to make sure that’s underlying actual prices for cedar are going up and it's not really a mix issue?
Jerald Richards: Yes. In our cedar production across the year really varies very little as a percent to mix in the North, it's roughly 8% to 9% every quarter. And just to give you a feel for it, it was roughly a little over $200 a ton in the first quarter and it hit $250 a ton in the second quarter. So mix didn't change more or less about 8% each of those quarters, but the price went up significantly.
Gail Glazerman: Okay. Thanks very much.
Operator: Thank you. Your next question comes from the line of Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Good afternoon or good morning. Thanks for taking my question. First question, just coming back to kind of the projects in U.S. South, it seems like if these what we are hearing is there is some delay in the sandpaper fluff pulp mill. Are you guys hearing anything on that, it seems like they’re still doing feasibility and engineering study?
Jerald Richards: Yes. So Ketan, I think we are reading the same press releases, so we have heard the same thing, so what I - I think what we had read was it's just taking longer for them in the permitting and the engineering and I think the estimate that I recall is it might not start up until 2020. But I think the positive there is it certainly is a very - will be a pretty large consumer of pulpwood and is approximate to our Arkansas, timberland holding. So still a very positive development, but certainly as we mentioned in the past a long-term development.
Ketan Mamtora: Okay. That’s helpful. And just switching to cedar prices, you mentioned there was a pretty big jump in pricing from Q1 to Q2. What drove that is it - something that is seasonal or there is something else that's going on from a demand standpoint?
Jerald Richards: There could be a little bit of seasonality in that. That cedar product is used for a lot of high end second homes in the intermountain region and then probably is more building activity in the summer months and there are say in the dead of winter. So my gut tells me it's more fundamental demand that’s driving those prices higher. Cedar is a relatively scarce product and it's in limited supply and as you see strong high-end second homes being built as you see demand for cedar go up alongside demand for those homes, you will see pricing move up right along with it.
Ketan Mamtora: Okay. That’s very helpful. I will turn it over. Good luck in the second half.
Michael Covey: Thanks.
Operator: Thank you. Your next question comes from the line of Collin Mings with Raymond James.
Collin Mings: Hey, good morning guys.
Michael Covey: Good morning.
Collin Mings: I guess first question for me just I mean we've discussed how the indexing of your log pricing in Idaho works on prior calls. I’m just curious maybe you can remind us given just the portfolio changes how much if your Northern harvest pricing on sawlogs is driven now by lumber pricing?
Eric Cremers: Yes. It’s roughly 70%, Collin.
Collin Mings: Okay. And then maybe just remind us Eric, I don’t know if you could give us a split of how much of that is a full quarter lag versus more of a monthly lag?
Eric Cremers: Yes. I don't have that data right in front of me.
Collin Mings: Okay. And then just a housekeeping question. Just making sure I understand the guidance and some of the moving pieces going forward on the interest expense, call it a $7 million quarterly run rate once you get down with the refinancing and factoring in the recent debt repayment, is that fair?
Michael Covey: That’s fair, Collin.
Collin Mings: Okay. And then, Mike, just to clarify the comments from kind of at the beginning, opening remarks and just maybe walk us back through the kind of the current banking given that clearly taking advantage of some of the opportunities on the debt refinancing and debt pay down side. Just as far as capital allocation particularly given the fact that the wood products business is turned back to profitability this year. As you think about the stock here again it cost $37 to $38 priorities as far as continuing to execute on the share repurchase plan versus I know towards the end of the year typically the Board takes a look at the dividend. Again recognize you don't want to get out in front of the Board too far; just walk us through capital allocation priorities?
Michael Covey: We've had a lot of options recently with the proceeds from the Central Idaho sale and I think what we’ve talked about with debt repayment and debt refinancing are important we lost our investment grade rating earlier this year largely because we levered up for the large Southern acquisition, we did a year and a half or almost two years ago. We'd like to get that back, so a little stronger balance sheet. It is helpful. We will also gain traction with that as debt-to-EBITDA interest or ratios come down with stronger earnings in our wood products business. We continue to believe that most large timberland transactions that are in the market are fully valued with very little opportunity to create returns for shareholders and so our focus has been on very small bolt-on acquisitions that are quite small, where we think we can get outsized returns. And the best deal on timberland is to buy our own stock back, which we did in the first quarter or second quarter. And as we've said in our prepared remarks, we'll continue to look at that opportunistically, we continue to trade at a pretty deep discount to most analyst estimates of net asset value. Yours is a little bit low, but some of the others are higher. And I think our best use of capital allocation is to buy our own shares in this market. Regarding the dividend, it's nice to have a little more coverage with the improvement in our wood products business, but that business as we have certainly seen can be very lumpy and we really look to improvement in Southern log prices I think to be a real catalyst for further discussions with their Board about raising the dividend and will see what happens in second half.
Collin Mings: Appreciate that very detailed response. Just one other part of that just as you think about potential capital projects particularly given I mean the commentary and outlook about lumber pricing not only for the remainder of this year, but also into next year depending upon what happens with the lumber dispute between the U.S. and Canada. How do you think about opportunities to continue to put more money into your mills maybe scratch it up some production capacity?
Michael Covey: Last year we spent roughly $15 million to $17 million of kind of incremental discretionary capital to increase production and grade recovery at each of our four mills. Those projects has been successful, we're going to produce another 25 million board feet this year, because of those. We felt they all had 20% kinds of returns or better. Same with our project that we executed in Warren, Arkansas, this year we felt the returns in that same zip code. And our mill managers have no shortage of projects that kind of have those kind of projected returns and we will continue to do a small number of those each year, but I think that our capital spending is going to continue to fall in this range of roughly $20 million to $25 million going forward with select projects each year.
Collin Mings: I really appreciate the color Mike. Thanks.
Michael Covey: You bet.
Operator: Thank you. Your next question comes from the line of Chip Dillon with Vertical Research.
Chip Dillon: Yes, good morning, Mike, Eric and Jerry.
Michael Covey: Hi, Chip.
Chip Dillon: First question is with the - you were just to piggyback the last one. What would you sort of describe as kind of a range of what the lumber system could do if the demand were there for it? I know there is some flex always in these situations with the potential to run extra shifts in over time, but how should we think sort of like the range of what the annual output could be in a really good market?
Eric Cremers: Well Chip, this is Eric. I mean at the simplest way to answer that question is to look at where capacity utilization is in the industry right now. It's roughly 85%, which means there's roughly 15% spare capacity that's out there. Now, I think the real question is at what price will it take to get that 15% to come online and produce, because you've got to believe that over the last few years maybe not last year, but the prior couple of years were really strong markets. And I think a lot of the easy capacity has come online. So what's left is high cost expensive capacity. But that's roughly 15% is what's out there most available according to we see anyway.
Chip Dillon: That’s helpful. But I was talking about your own system?
Eric Cremers: And our own system, well we're running our mills about as hard as they can be run. So there's not a lot more room for incremental production there.
Chip Dillon: Okay. That's helpful. And the second question has to do with the - just want to make sure I heard you right. I know since the Clearwater spin-off eight or so years ago. There have been two instances when I know there was one dividend decrease and there is been two instances where it's gone up. Would there be any reason why the timing of another dividend moves if you do decide to do one would be different than the last two, looking at a calendar?
Michael Covey: Well. Typically our Board has always reviewed the dividend in the fourth quarter of each calendar year. Not that they can't change that schedule, but you know we increased the dividends from a $24 to a $40 in the fourth quarter of 2013 and again to a $50 in the fourth quarter of 2014. And so our pattern has been to review that in the fourth quarter expect that will continue.
Chip Dillon: Okay. And then on the - looking at the Real Estate segment. And I guess I have in my model rightly or wrongly somewhere around 20 or so thousand acres a year is kind of a normal divestiture program and I just was wondering if that still is a place or if it ever was the right place to be in light of the Idaho land sale.
Eric Cremers: Yes, Chip this is Eric. Yes, the majority of our acres that get sold each year are coming out of Minnesota and we still have plenty of acres left in the state to sell. So yes I think 20,000 to 25,000 acres, continues to be the run rate there.
Chip Dillon: Okay. And last question is on the - when we think about the Idaho lands and the potential you know the projects that are being talked about in various products. I just wanted to clarify you would by far benefit more from wood products that you sawlogs I guess or other logs or yes basically wood products facilities more so than a pulp facility?
Michael Covey: If there were an expansion is your question specific to Idaho, Chip?
Chip Dillon: I’m sorry I mean Arkansas?
Michael Covey: In Arkansas. Yes, with the margin on sawlogs is roughly three to four times what it is on pulpwood. So additional sawlog capacity whether it comes from a plywood plant or sawmill is always more attractive than pulpwood just because the margin is three to four times different.
Chip Dillon: And I guess to ask more directly if the sun mill gets delayed further or never happens, noting that our researchers indicates there hasn't been a pulp mill permitted since the 1980s Marlboro South Carolina. Would that be a real - would that would that be a big disappointment or do you see so to speak enough on the wood products side which is of course much more easy to permit as being satisfactory to helping that market?
Jerald Richards: Chip if I look at the outlook for pulpwood demand in Arkansas from these projects that are coming online whether it's a sun paper mill or its pellet mills. There's roughly 7 million tons of incremental demand that's on the horizon in Arkansas and our view is roughly three of that more or less is going to come from sun. So would it be a disappointment perhaps but I think in the grand scheme of things there’s still another 3, 4 million tons of demand coming online in the state.
Chip Dillon: Gotcha. Very clear. Thank you so much.
Operator: Thank you. Your next question comes from the line of Steve Chercover with D.A. Davidson.
Steve Chercover: Thanks couple of late questions please. First of all you specified that the work at Warren hit income by about $3 million. I was wondering is that due to foregone production or is that - does that include some capitalized expenses?
Jerald Richards: Yes, Steve, so this is Jerry. That actually is a combination of foregone production as well as we also did some annual maintenance there so it includes some dollars expenses as well.
Steve Chercover: Okay. And I guess we've already got the income target for this second quarter. And then I guess following on Chip's question. I was kind of wondering why sawmills can't invoke the easiest capacity expansion which is to add shifts or second or third shifts in the U.S. I mean just to get some instant incremental capacity if we really think prices are going to be up substantially in 2017?
Eric Cremers: Yes, I think Steve you know that the second shift is not terribly difficult to do. I would guess that probably the majority of mills today are running a second shift. The third shift is overwhelmingly challenging. You're talking about running in the middle of the night. You're talking about not giving adequate time for repair and maintenance of equipment. And I would guess very few mills are willing and able to run a third shift even in a really strong pricing environment.
Steve Chercover: Got it. And do you think would have an impact if some were configured to do third shift or kind of second and a half shift would it impact log prices in the vicinity of the mill?
Eric Cremers: Sure. If it’s incremental demand for sawlogs it would definitely have an impact on pricing. I guess it all comes down to - what does that incremental demand look like relative to the base case.
Steve Chercover: All right. And the outlook for $30 higher prices for lumber in 2017, do you believe that incorporates the Canadian share of the market going back below one-third like is it back around 25%?
Eric Cremers: You know what I gave you Steve was what the pundit’s think, which is the average of the five experts that are out there. They're looking at a $30 price increase. So I don't know what each and every one of those are thinking as it relates to where we shake out on the softwood lumber agreement. I guess my gut tells me they’re depending upon what comes out of that arrangement, there could be more upside.
Steve Chercover: Got it. Thanks. And then finally just one last clarification on the tamarack sale, so that land had an annual EBIT contribution of about $4 million was actually negative EBITDA, so we really shouldn't be thinking of that as having a significant impact on your full-year timberland results?
Jerald Richards: So Steve, this is Jerry Richards. In terms of the property it was proximate to tamarack, but we certainly didn't known that that ski resort. But in terms of EBITDA contribution you are correct, it actually and I think you meant to say actually slightly negative from an earnings standpoint once you factor depletion and so really not a meaningful change in terms of our GAAP results going forward.
Steve Chercover: Yes. I was just referring to the land to the tamarack land the 172,000 acres. Okay, thanks.
Operator: Thank you. Your next question comes from the line of Paul Quinn with RBC Capital Markets.
Paul Quinn: Hey, thanks. Good morning gentlemen. Just a question on - just trying to reconcile on wood products here, so what was the CapEx spend at Warren? And then it sounded like you guided $8 million to $10 million in wood products in Q3. And I'm just trying to reconcile that with $6.4 million you did in Q2 plus a $3 million incremental hit from the Warren 12-day outage?
Eric Cremers: Yes, Paul. So this is Eric. So the first part of your question was a capital spend at Warren that was a little over $2 million for a log bucking optimization project. When you talk about sequential earnings in wood products and Jerry indicated, we’ll get to roughly $8 million to $10 million of earnings in Q3 in wood products and by the way we're about halfway through the quarter now, so we feel pretty good about that number. Part of that is going to come from what we believe will be a lumber price increase. The pundits are talking about more or less a 2% price increase that should drive incremental earnings of a few million dollars. We've also got the Warren issue that we had to deal with in Q2 that will not repeat in Q3 and that ought to provide as well a couple million dollars of incremental earnings. So those three factors combined gets you to $8 million to $10 million.
Paul Quinn: Okay. And then taking a look at maybe you could comment on the overall U.S. timberland market itself, I mean, like Mike you said most of the large transactions out there are fully valued. But are you seeing the volume of transactions you expect that seems light my mind and what do you expect going forward?
Michael Covey: I think there is a number of packages that are on the street being valued by parties. So then kind of quiet about the announcements on those I think when those come to closure it will seem like a normal level of deal activity by the end of the year that’s kind of our feeling. I agree that maybe it’s a little bit light so far, but I think there's still a number of TMOs and certainly REITs that are competitive on these things. Interest rates are low for the REITs that are borrowing money. I think we'll see the projects clear and I think they'll continue to be at prices that are quite strong.
Paul Quinn: Okay. And then just flipping over to softwood lumber and the dispute, I appreciate the color on current situation; your expectation post October 12 is for [CBD and ABDD] come in and do you expect them to be similar to 2001 when the last time this occurred?
Michael Covey: We don't have any expectation about what they're going to be or if there will be any I think within that - I think no we're certainly through the softwood lumber coalition that we're part of it, if we get October 13 and there's not a negotiated settlement. The U.S. is free to file a trade case and I fully expect that will happen if we're not making progress.
Paul Quinn: Okay. And last question I had just on the U.S. sawlog prices it seems if you follow timber mart so closely prices were down on the softwood side. Any indications I mean sounded like inventories are high on the sawmill side for logs, so it doesn't seem like a price recovery in the short-term, but do you see a point of inflection 2017, 2018?
Jerald Richards: Yes. People have been talking Paul about a point of inflection for a number of years now and we have yet to see it. Although, some of the major consulting firms that are out there covering the industry. They believe that we're not too far from where that inflection point is it could be with an extra 100,000 or 200,000 housing starts. We could start to see prices move. One actually thought we that I spoke with recently said we’d see it move by the end of the year. So our fingers are crossed and at some point it will happen, but we haven't seen it yet.
Paul Quinn: All right. That’s all I had. Better luck in Q3.
Michael Covey: Thanks.
Operator: Thank you. [Operator Instructions] And your last question comes from the line of Mark Weintraub with Buckingham Research.
Mark Weintraub: Thank you. I understand that the thought process vis-a-vis the dividend wanting to focus on the timber profitability recognizing the cyclicality and wood products, but you've done a lot of work to improve the profitability of your lumber system. Does that get factored in and fairly recently does that gets factored into what you might think is sustainable in the right dividend level and how do you factor that end?
Michael Covey: Yes. I mean absolutely we wouldn't have - the incremental capital that we spent last year of the $15 million to $18 million that I mentioned with a kind of 20% return threshold or higher. And I think that’s kind of money we can take to the bank. And I absolutely think that it gets factored in when we think about dividend coverage and how much headroom we have to raise the dividend on a long-term sustainable basis. But nevertheless I think you can never kind of forget about what happened in the wood products business last year where we had our EBITDA fall by roughly $50 million to $60 million in one-year as lumber prices weaken for a variety of factors, so it's the Board - the Board will factor in the improvements that we've done in our lumber business, but fundamentally we need to see Southern log price improvement have a meaningful impact.
Mark Weintraub: Okay. And maybe the color you gave on the Southern markets was very helpful? Can you kind of run through what you're seeing in the Pacific Northwest in a little bit more detail as well on the timber side?
Jerald Richards: You’re talking about from a log pricing?
Mark Weintraub: Exactly.
Jerald Richards: Mark. We're seeing strength as we talked about Q1 to Q2, our sawlog prices were up 14% and I think as we indicated in our call script, we will seem them up again in Q3 another 4% or 5%. At these lumber prices and with the outlook being for continued strong lumber pricing and with the fact that 70% of our Northern sawlog production is indexed to lumber, we will see continued strength in sawlog prices in the North. That's our expectation.
Mark Weintraub: Fair point. And the part that isn't indexed to lumber, what sort of - are you seeing in the market for that part of the business?
Jerald Richards: It tends to go up right alongside the index pricing; any given quarter may vacillate plus or minus a little bit, but it will move in tandem.
Mark Weintraub: Okay. Thank you.
Operator: Thank you. At this time, I would like to return the floor to management for closing remarks.
Michael Covey: Thank you, Latonya. And I certainly appreciate everybody's attention and interest in Potlatch and we look forward to catching up with you on next quarter's call.